Operator: Ladies and gentlemen, welcome to the Vistaprint Fourth Quarter and Fiscal Year 2013 Q&A Earnings Conference Call. My name is Patrick, and I will be your operator for today. This call is being hosted by Robert Keane, President and CEO; and Ernst Teunissen, Executive Vice President and CFO. Before we take the first call, as noted in the Safe Harbor statement at the beginning of the earnings presentation, comments may include forward-looking statements, including statements regarding revenue and earnings guidance, and actual results may differ materially. Risk that could impact those statements are described in the documents that are periodically filed with the Securities and Exchange Commission. Before we proceed with the first call, I would like to turn the call over to Mr. Robert Keane, President and CEO, for opening remarks. Please proceed.
Robert S. Keane: Thanks, everyone, for joining us today. I do have a few brief remarks about fiscal '13 results, as well as our outlook to fiscal '14 before I open up the call for questions. As we mentioned in the press release and prepared remarks, we delivered mixed results in fiscal '13. We did not achieve the revenue target we initially set out a year ago due primarily to unexpected and persistent weakness in our European performance. However, we significantly outperformed our initial earnings per share target. We were able to achieve this outperformance while continuing to make the important investments in our business that we believe will help fuel our long-term strategy. Two years into this strategy, the pace of our progress differs by geography. Our success in North America, where marketing execution has been strong and where we're the furthest along in our cultural shift towards more customer-centric marketing and business approach, validates our approach. But in Europe, we have chosen to rebuild our marketing foundations in our top European markets, and this has led to our expectations for little growth in fiscal '14. But these revised foundations should help us improve our in-year customer economics and our business profitability, as well as increase customer lifetime value over time. Despite our expectations for lower growth in fiscal '14, the earnings guidance we are introducing today for fiscal '14 reflects our objective of expanded margins and increased EPS after 2 years of heavier investments in fiscal 2012 and 2013. At the same time, we believe we can continue investing appropriately in our strategic initiatives. Though our actual and expected revenue growth in fiscal '13 and fiscal '14 are lower than we hoped that we would achieve when we launched our new strategy, we firmly believe that we are a stronger company today than we would have been had we continued to maximize the transaction level of customer economics. We believe that the investments that we have made during the past 2 years and the ones that we expect to make in the coming years paved the way for future scale advantages and competitive positioning, and will lead to an overall stronger, sustainable business with higher earnings and cash flow per share. Now, we'd like to take your questions.
Operator: [Operator Instructions] Gentlemen, your first question comes from the line of Youssef Squali with Cantor Fitzgerald.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: So in the release, Bob, I think you mentioned seeing signs of stabilization in Europe and Australia. Can just speak to that, maybe how much of that is just macro-related versus changes to the organization you just mentioned in your prepared remarks here? And second, considering your level of spend and investment in the high single-digit growth, I guess -- let me step back. The guidance for 2014 is for 7% to 11%. I guess, the -- as we look out over at a longer term, which is how you've always looked at the business, is this the new normal kind of growth that the firm needs -- or that The Street needs to kind of accept? Or do you feel that you will be able to reaccelerate your investment to hope to accelerate your top line growth over time?
Robert S. Keane: Okay. No problem, Youssef. Let me start with your second question then come to the first. Certainly, we do not want to try to expand beyond -- to extend our guidance beyond the next 12 months. But I can say, and you see in some of our prepared and released remarks, is we're really working with a 2-track growth story. Europe is going much slower than we had hoped, and we really want to build foundations. And North America is continuing to do very well. We still see strong growth in Australia and New Zealand, we're going through a transition stage there. But we are -- I think the key is that we have a very, very strong company, a very strong competitive position, a great market opportunity. We are managing through this difficult challenge that we see in Europe, and we think we could reaccelerate growth, and we really believe that can happen. But before we predict that specifically, we want to see the turnaround in Europe before we try to put a calendar to that -- of change. But just the fact that the much bigger business we have in United States and Canada is growing faster than -- much faster than the European business tells us that the opportunity is there.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: But just as a follow-up to that, would you have to take down your margins again in the outer years to try to reaccelerate top line growth or do you feel that your margin...
Robert S. Keane: No. Yes, and we're very strongly profitable in North America, and we don't see that as being linked to another reduction in profitability. Again, I don't want to put a timeline on when we would have the aspirations to do that. We really feel it's best to step back and rebuild those foundations. Now your first question, I think, was what specifically is happening in Europe, and to a lesser extent, Australia. We delivered, first of all, results in line with expectations we had 3 months ago for Europe. We said for some time that it's going to be a longer-term effort. And although we have made progress stabilizing the business, we don't expect a growth in '14 because we're going to be continuing to make some significant changes to pricing transparency, to product quality, customer communications. I'll be speaking quite a bit about this, and Trynka Shineman, our Chief Marketing Officer, even more so in our Investor Day in New York. We are also trimming the core return on investment advertising until the customer economics improve. We have a segment of our advertising which wouldn't make sense with the lower cash flows per customer in Europe. So until the LTV, lifetime value, goes back up, we're turning those. And that brings down growth, but it's a healthy economic decision to do that. We expect these measures to create a drag now, but the longer-term opportunity certainly remains strong in that market. As to Australia and New Zealand, that, we really feel, gives us a test bed to move quickly to very customer-centric communication, reduction of email frequencies, clarity of pricing and a real -- a whole series of different things, which definitely have created headwinds in the short term. But we fundamentally believe when we look at Net Promoter Score, a measurement of customer satisfaction or other attributes, we believe will lead to long-term customer loyalty. Those are the right things to do.
Operator: Your next question comes from the line of Victor Anthony with Topeka Capital Markets.
Victor B. Anthony - Topeka Capital Markets Inc., Research Division: Just 2 questions. The first is, I'm just going back to the flat guidance for Europe in 2014. The macro situation appears to be improving. There are some economic data just came out today that suggest that improvement over the next couple of quarters. So how much of your guidance has -- factors in the macro situation in Europe? That's one. The second, I know you stated in your prepared remarks, in the presentation, that it's a -- that 2,000 -- $220 million in net income for fiscal 2016 is less likely. But I want to go back to a guidance that you once gave of 5,000 EPS per share. Is that number still achievable when the [indiscernible] share approaches?
Ernst J. Teunissen: I'll start with the question about the macro in Europe. We said before, we believe that the macro is possibly making an impact on our business. But we think the majority of the slowdown we've seen in Europe is influenced by ourselves and can be influenced by ourselves. So we're really focused on that. The European macro has gone through various cycles of good and bad news in the last year. And we're not really factoring that into our projections for the next year. We're really focused on our own performance. So that's not included in our guidance either as a positive or a negative. In terms of the $220 million, plus or minus 10%, we are stating that it is possible that we will achieve that, but it's much -- it's less likely than before. And the reason that we are saying that is that our revenue growth is lower than we expected, and especially after we have finalized our budget for fiscal year '14. We realized that there are some revenue scenarios, possible revenue scenarios that would mean that we would jeopardize the competitiveness of our company and the long-term value of our company. We really, under those revenue scenarios, still try to get to that target. So we are -- and that same thing, it's possible, but it's less likely than we thought it was when we gave that guidance a year ago. The -- given our share count, $5 is an easier comp. But we have consciously decided, and we've written that in the script as well, that we're moving away from providing guidance beyond the year ahead. So we're not going to be providing guidance for fiscal year '16 in any form of revenue or profitability going forward.
Operator: Your next question comes from the line of Kevin Kopelman with Cowen and Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: So I just want to ask about marketing expense. Last 2 quarters, your external advertising has grown slower than revenues, which is a big change. If we broke out Europe, would that also be the case? Are revenues also growing faster than your marketing spend in Europe, albeit a slow revenue growth?
Ernst J. Teunissen: So our marketing expenses are growing slower than revenue, both in North America and in Europe, especially in Europe though. In the second half of this year, in Q3 and in Q4, we have slowed down advertising expenditure in Europe to match the deterioration of the customer economics that we had seen in the first half of the year. So we are growing advertising slower than revenue growth there.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Okay. And just looking at the FY '14 margin expansion, should we expect a further step-down in external marketing, or will it kind of look like what we've seen the past couple of quarters, and it's more a continuation of that and then bringing in the other expense line items down?
Ernst J. Teunissen: So year-on-year, we do see lower advertising expense as a percent of revenue between the 2 -- the 3 markets that we're in. So that's embedded in our guidance, the lower percent of advertising as a percent of revenue.
Robert S. Keane: I would add to what Ernst said, that's not the exclusive or component of the margin expansion we expect over the next year. Certainly, we see G&A leveraged and slightly higher gross profit margins.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Yes. And then just one more question. Can you give us an update on your pricing transparency initiatives? I know that Canada, I think you were a little bit ahead there compared to other markets, so why are you there and in North America? And do you have timing for rolling out those initiatives in Europe?
Robert S. Keane: Sure. We are going to speak more -- in quite a bit more detail in our Investor Day in New York next week, but I will give you a summary about that. But the -- we have used Canada very much as an early test bed where we significantly changed our offering approach in terms of what was included in the standard pricing, for instance, eliminating upload charges or backside logo removal charges or a whole slew of other things, changing the way we went to market to make it much more value proposition-based versus focused on free or 90% off discount driven. The impact in Canada was that revenues actually declined. This is more than 1 year ago when we first started testing pretty significantly in the early days, but then came back out of the trough so that after a certain amount of time, it was clearly a better economic decision. So we are now in the planning stages of looking at how we take those things that we learned in that Canada test set and roll it out into the United States, into different European countries. I'm going to leave it to Trynka Shineman, our CMO, who will be talking about this next week to go into more detail, but we certainly are already starting to roll some of those out because we believe, although it's a little bit painful upfront in terms of revenue growth, besides being a much better customer experience and being more competitive long-term in the market, it is also a better financial model for us as we've run these tests.
Operator: Your next question comes from the line of Brian Fitzgerald with Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: In terms of your online marketing channels, wondering how aggressively you use discount campaigns, flash or maybe even, more importantly, couponing sites and those initiatives. And can you give us any color onto how those channels are working for you either across products or across even geographies?
Robert S. Keane: Sure. So when you mention coupons, if you think of deal of the days, be it Groupon or otherwise, we certainly find coupons interesting, but not material in the way we're advertising. I think, frankly, one of the reasons they are less interesting to us than they may have been 1 or 3 years ago is the very deliberate shift in our value proposition away from deep discount to something which speaks more to the core value proposition. Now to be clear, we still discount, we make offers, but it's not as core and central to our marketing practices. So we think those are good advertising opportunities. We certainly use them, but they are not a major portion of our advertising programs.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: And really quickly, would you differentiate between flash and couponing, or you kind of characterize them in the same kind of bucket?
Robert S. Keane: I think you're talking about flash cookies?
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: Couponing, so...
Robert S. Keane: Oh, [indiscernible]. Oh, okay. No, we would not differentiate.
Operator: There are no additional audio questions at this time. I would now like to turn the call back over to Mr. Robert Keane for closing remarks.
Robert S. Keane: Well, thank you for listening to our call tonight. We certainly look forward to seeing you at our Investor Day next week. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.